Operator: Good afternoon, and welcome to the TPI Composites First Quarter 2024 Earnings Conference Call. 
 At this time, I'd like to turn the conference over to Jason Wegmann, Investor Relations for TPI Composites. Thank you. You may begin. 
Jason Wegmann: Thank you, operator. I would like to welcome everyone to TPI Composites' First Quarter 2024 Earnings Call. 
 We will be making forward-looking statements during this call that are subject to risks and uncertainties, which could cause actual results to differ materially. A detailed discussion of applicable risks is included in our latest reports and filings with the Securities and Exchange Commission, which can be found on our website, tpicomposites.com. 
 Today's presentation will include references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of historical non-GAAP measures to the comparable GAAP financial measures. 
 With that, let me turn the call over to Bill Siwek, TPI Composites' President and CEO. 
William Siwek: Thanks, Jason, and good afternoon, everyone, and thank you for joining our call. In addition to Jason, I'm here with Ryan Miller, our CFO. 
 Please turn to Slide 5. I'm pleased to announce the publication of our 2023 Sustainability Report in March of this year. We remain committed to our publicly stated goals of fostering a zero-harm culture and achieving carbon neutrality by 2030 through 100% renewable energy procurement. Wind blades produced by us in 2023 are estimated to prevent approximately 346 million metric tons of CO2 emissions over their 20-year life span. 
 We are advancing towards our 2030 goal of carbon neutrality, achieving an 18% reduction and overall market-based Scope 1 and 2 CO2 emissions. In Turkey, we invested in 2 wind turbines and additional solar panels. Further, to enhance on-site renewable energy use, we signed a power purchase agreement in India. We reduced total annual waste generated by 12%. 
 Our behavior-based safety program continued to yield safety results, outperforming industry standards and our internal goals. And we have fully embraced our IDEA program and were recognized with numerous awards for our commitments to inclusion and diversity around the globe. 
 In the U.S., our LEAP for Women program was recognized with a GRIT Award for Best Affinity Group. In Mexico, we were recognized as a top employer. In India, we were recognized as one of the 100 best companies for women. And in Turkey, we were awarded the Silver Stevie Great Employers Award for achievement in diversity and inclusion. 
 Advancing our sustainability goals remains a priority in 2024. We're actively negotiating a purchase power agreement in Mexico to ensure 100% renewable energy for our facilities there. Additionally, we're working to expand on our recent PPA in India. These investments go beyond environmental benefits, they also make strong economic sense, contributing directly to the improvement of our financial performance. 
 Please turn to Slide 7. Consistent with the guidance we provided during our 2023 fourth quarter earnings call, sales and adjusted EBITDA in the first quarter of 2024 were lower than in the prior year due to the timing of production line start-ups and transitions across several of our facilities. However, they were slightly ahead of our plan, so we are still on track for the full year. 
 Let me remind you that we expect to go back to positive EBITDA margins and positive free cash flow in the second half of the year after we get through the process of ramping up the 10 lines that are in start-up or transition in the first half of the year. I'm confident in our ability to achieve mid-single-digit adjusted EBITDA margins in the second half of the year, given the excellent operational execution we are seeing today in most of our plants. 
 The $23 million adjusted EBITDA loss in the first quarter included $22 million related to start-up and transition costs, $9 million of unanticipated losses from the Nordex Matamoros plant due to temperature and humidity issues as well as decreased volume requirements, and we recorded an $8 million charge to account for the inflationary impact of completing preexisting warranty claims. Without these items, our adjusted EBITDA margin would have been over 5%, and that's at a 67% factory utilization level. 
 I'm not expecting these items to impact us in the second half of the year, which is why we will return to solid margin performance in the third and fourth quarters when our utilization climbs well above 80%. Activities to transition the Matamoros plant back to Nordex are in full swing, and we are on track to return the facility by June 30, as planned. 
 Our use of cash in the quarter was primarily to fund our start-ups and transitions and was aligned with our expectations. We believe our quarter-end cash balance of $117 million, along with access to existing credit facilities and the significant impact of the strategic refinancing with Oaktree, provides us ample liquidity to navigate current market conditions and ultimately expand to meet our customers' growing needs as we target to return to positive cash flow in the second half of the year. 
 Please turn to Slide 8. Turning to our Wind business performance. Our blade facilities in India and Turkey continued to be profitable, delivering 241 blade sets, representing 1.4 gigawatts of capacity during the quarter. Most of our Mexico operations performed well even while going through numerous transition start-ups and volume adjustments. 
 Overall, our operating performance is benefiting from our renewed focus on lean. Embracing lean practices and ensuring they are part of our day-to-day culture will enable us to deliver greater value to our customers while optimizing our cost structure, maximizing productivity and manufacturing the highest-quality blades in the industry. 
 Moving on to our Field Service business. As anticipated, our global service revenue declined year-over-year. This reflects a temporary reduction in technicians assigned to revenue-generating projects due to the warranty campaign announced last year. We expect our technicians to return to normal levels of revenue-generating work by midyear. 
 Despite continued progress building the Automotive segment's order pipeline and operational execution, and notwithstanding growth in non-Proterra revenue, Q1 revenue fell year-over-year due to the Proterra bankruptcy. The growth in non-Proterra revenue was largely due to the launch of a new product line for our largest passenger EV customer. 
 While we've made significant investments in expanding our Automotive business over the past years and continue to see strong growth potential for composite products and electric vehicles, we're prioritizing capital allocation towards the Wind business. To assure our Automotive segment has the resources and support to execute its growth strategies, we've been exploring strategic alternatives and expect to finalize the transaction by the end of the second quarter. 
 Our supply chain execution and cost performance remained very stable. Raw material costs have decreased compared to this time in 2023, with further savings expected due to excess manufacturing capacity in China. Logistics around the Red Sea situation remain well managed with no operational or significant cost impacts to date. 
 Now with respect to the wind market, we are seeing the beginning of an onshore wind rebound driven by ambitious government action, including the Inflation Reduction Act in the U.S. and the EU Green Deal and REPowerEU policies, in response to the need for greater energy independence and security to address climate change and to meet the increasing global electricity demand, fueled by factors like generative artificial intelligence and data centers, EVs and the electrification of buildings. 
 Excluding China, expectations are for global onshore installations to hold steady in 2024 with a growth inflection point in 2025, followed by continued expansion throughout the decade. In the U.S., BNEF is projecting onshore wind installations in 2024 of 8.4 gigawatts and to be nearly 20 gigawatts per year by the end of the decade. 
 While favorable long-term policies like those in the U.S. and the EU provide optimism and have helped to accelerate orders for our customers, we still don't anticipate increased wind installations in our primary markets to fully materialize until 2025. The industry still await some critical details on implementing key components of the Inflation Reduction Act, such as the domestic content adder, prevailing wage and apprenticeship clarifications, 45Z and the transition from PTC and ITC to the new tech-neutral version. 
 Also, elevated interest rates, inflation, the cost and availability of capital, permitting hurdles and transmission bottlenecks are also contributing to near-term delays. There are, however, encouraging signs that the U.S. and EU are addressing permitting and transmission bottlenecks. 
 FA Wind recently announced that permits for projects in Germany soared to a record high in the first quarter of 2024, nearly 40% higher than the same period last year. This progress is largely attributed to new laws and regulations that streamline the permitting process, including granting renewable energy projects, overwriting public interest status. 
 In the U.S., the Department of Energy released the Transmission Interconnection Roadmap, i2X, to tackle challenges in connecting renewable energy to the grid. This road map aims to streamline the process by 2030, focusing on faster approvals and more consistent costs while maintaining good stability. 
 Additionally, the White House Council on Environmental Quality has finalized a rule to reform, simplify and modernize the federal environmental review process under the National Environmental Policy Act. The new rule will build on more than $1 billion from President Biden's Inflation Reduction Act to expedite federal agency permitting. Technical advances are also being made. Recent research shows reconductoring existing transmission lines with advanced conductors can double capacity on existing rights of way in just 18 to 36 months. 
 Now before I turn it over to Ryan, our financial outlook hasn't changed over the past couple of quarters as we still expect 2024 to be a year of transition. We're currently running 36 production lines, including those for Nordex and Matamoros, which are on track to transition back to them by the end of the second quarter. 
 We are progressing nicely on the start of some transitions, all of which will impact production volume and utilization in the first half of the year, but significant improvement is expected in the second half as these lines achieve serial production. Despite lower utilization in 2024 compared to 2023, we still expect strong improvement in profitability as we have addressed the operational challenge faced in 2023.  
 As such, we are reconfirming our 2024 revenue guidance of $1.3 billion to $1.4 billion with an EBITDA margin between 1% and 3%. In 2025, we continue to expect a significant step-up in profitability with EBITDA exceeding $100 million, putting us back on track to achieve our high single-digit EBITDA margin target in 2026 and beyond. 
 With that, I'll turn the call over to Ryan to review our financial results. 
Ryan Miller: Thanks, Bill. 
 Please turn to Slide 10. In the first quarter of 2024, net sales were $299.1 million compared to $404.1 million for the same period in 2023, a decrease of 26%. Net sales of wind blades, tooling and other wind-related sales, which hereafter I'll refer to as just Wind sales, decreased by $98.7 million in the first quarter of 2024 or 25.5% compared to the same period in 2023. 
 Blades sales this quarter were negatively affected by start-up and transition activities at our Mexico and Turkey facilities, expected volume declines based on market activity levels and a decrease in average sales prices due to changes in the mix of wind blade models produced. This decrease was partially offset by favorable foreign currency fluctuations and an increase in tooling sales in preparation for manufacturing line start-ups and transitions. 
 Field Service revenue declined by $1.1 million in the first quarter of 2024 compared to the same period in 2023. Our first quarter is typically the low point for service revenue due to seasonal weather patterns and the nature of the work performed, and this year was also impacted by the warranty campaign announced last year. We expect a full transition back to revenue-generating activity by the second half of this year. 
 Automotive sales decreased by $5.3 million in the first quarter of 2024 compared to the same period in 2023. This decrease was primarily due to a reduction in bus body delivery due to Proterra's bankruptcy, partially offset by an increased sales of other automotive programs and the launch of a new product line for our largest passenger EV customer. 
 Adjusted EBITDA for the first quarter of 2024 was a loss of $23 million compared to adjusted EBITDA of $8.4 million during the same period in 2023. The decrease in adjusted EBITDA for the first quarter of 2024 as compared to the same period in 2023 was primarily driven by lower sales, higher start-up and transition costs and changes in estimate for preexisting warranty claims, partially offset by favorable foreign currency fluctuations. 
 Moving to Slide 11. We ended the quarter with $117 million of unrestricted cash and cash equivalents and $510 million of net debt. As planned, we had negative free cash flow of $47.3 million in the first quarter of 2024 compared to negative free cash flow of $87.1 million in the same period in 2023. The year-over-year improvement was primarily driven by the absence of payments tied to the closure of our operations in China and the growth of contract assets in the first quarter of last year. 
 The net use of cash in the first quarter of 2024 was primarily due to our EBITDA loss, capital expenditures and interest and tax payments. As previously communicated, we expect the second quarter to be the low watermark for cash. We've had much success improving the efficiency of our balance sheet over the past couple of quarters, and we will remain focused on preserving cash and optimizing working capital to ensure we have the resources to execute key initiatives and restart idle capacity moving forward. 
 A summary of our financial guidance for 2024 can be found on Slide 12. There are no changes to our original financial guidance provided earlier in the year. And I want to reiterate that the results from the first quarter for sales, adjusted EBITDA and cash flow were in line with our plans. 
 We continue to anticipate sales from continuing operations in the range of $1.3 billion to $1.4 billion for the year. We also continue to believe 2024 will be a tale of 2 halves. In the first half, we will be ramping up 10 lines that are either in start-up or transition. We expect the first half volume to be a fair amount lower than the second half and the first quarter will be lower than the second quarter. 
 As we work through these transitions and start-ups, we are generating modest losses and consuming cash. In the first half of the year, we are still expecting our adjusted EBITDA margin to be a mid-single-digit loss. The first quarter was likely our low point for profitability this year, and we should improve somewhat in the second quarter as volumes ramp to serial production. Our adjusted EBITDA margin improves to mid-single digits in the second half of the year, and we expect to be generating positive cash flow. 
 For the full year, we anticipate capital expenditures of $25 million to $30 million. These investments are driven by our continued focus on achieving our long-term growth targets and restarting our idle lines. We continue to be confident in our liquidity position, which has improved significantly since we refinanced the Oaktree preferred shares into a term loan. 
 We believe our balance sheet, along with the improvement in our liquidity and operating results, will enable us to navigate another transition year and will also allow us to invest to achieve our mid- and long-term growth, profitability and cash flow targets. 
 With that, I'll turn the call back over to Bill. 
William Siwek: Thanks, Ryan. 
 Please turn to Slide 14. The numerous government policy initiatives aimed at expanding the use of renewable energy, the need for energy independence and security and growing OEM backlogs give us confidence in the wind industry's short and long-term growth. 
 We are an integral part of the onshore wind growth story, and we remain focused on managing our business with an acute focus on reinforcing lean principles to enhance our operational and financial performance. We are committed to partnering with our customers by aligning our factories to support their next-generation turbine models while also actively evaluating new geographies and sites to meet their expected needs in the future. 
 The process of start-ups and transitions is progressing well. And we remain confident in our full year financial expectations as we are planning a return to mid-single-digit adjusted EBITDA margins and positive free cash flow in the second half of 2024. Long-term prospects for TPI remains strong, and we are ready to get back to adjusted EBITDA north of $100 million in 2025. 
 Finally, I want to thank all of our TPI associates for their continued commitment, dedication and loyalty to TPI. 
 I'll now turn it back to the operator to open the call for questions. 
Operator: [Operator Instructions] The first question comes from Mark Strouse with JPMorgan. 
Mark W. Strouse: Congrats on the progress. It sounds like we're getting closer and closer here. I did want to add something on the guidance outlook. I think before, you said the utilization percentage was on 36 lines. Now it's on 34. I'm sorry if I missed that, but what drove the difference in 2 lines? 
Ryan Miller: Yes, we -- so we have a -- Mark, I'm glad to hear from you. We have a couple of lines that we're kind of working through the contract on that through the first quarter. And there are 2 lines in our India location where demand has come down, and they're no longer under contract. So still working through filling that up, but it's 2 lines in our India site that they came down for. It didn't impact our guidance or our sales or anything. All of our sales volume and everything still remains the same for '24. 
Mark W. Strouse: Okay. Got it. And then just following up on the last call, you mentioned some damages that you were seeking from the bad supply that you got. Is there any update on that, timing or magnitude? 
William Siwek: Yes, Mark, what -- okay, I'm not going to give you the magnitude, but that claim has been filed, and it's in process right now. I would expect that we would have it resolved before the end of the second quarter, and it will be positive. 
Mark W. Strouse: Okay. And then lastly for me, the GE Juárez ramp, I believe you said that that's still on track. My understanding is that, that ramps in 2Q. Is that still correct? 
William Siwek: Yes, so we were -- yes, so the Mexico 2 facility is ramping as we speak. So that will be ramping through Q2 and into Q3. Yes. 
Ryan Miller: Yes, just to clarify, we -- Mark, just to clarify, we got 2 lines up we're running today and then the other 2 lines -- there 2 more lines that will come up in Q2. It will be in serial production in the second half of the year in that plant. 
Operator: The next question is from Pavel Molchanov at Raymond James. 
Pavel Molchanov: Let me start with kind of a housekeeping question. Interest expense in Q1, $21 million seemed rather high. Is that going to be the run rate going forward? 
Ryan Miller: Yes, Pavel, so because we took the -- we had to fair value the debt that we had with Oaktree in the fourth quarter last year and refinance that. If you recall, we had $118 million discount. And so there's really 2 components of interest and why it's at that elevated level. One is just the interest that we're picking. And so that, for this year, that will probably be in the neighborhood of $46-ish-million or so for the full year. And then the discount amortization will be around $31 million. 
 And so you will see an elevated level of interest because we need to accrete that discount up. So full year, I'd expect that our interest expense on Oaktree, including that discount, is going to be in the neighborhood of $77 million. 
Pavel Molchanov: Okay. Okay, that's very helpful. On the EV business, you mentioned you're still kind of contemplating its future. Anything changed from the last time we spoke 3 months ago in that regard? 
William Siwek: No, not really. We're in advanced discussions, and our plan is to have a transaction completed by the end of the second quarter. 
Pavel Molchanov: Okay. We will look forward to that. And last question, we've seen a lot of input costs across the clean tech value chain subsiding, certainly including steel and others, carbon fiber, that are relevant from your perspective. What kind of role is that playing in the margin uplift that you're envisioning for the second half of the year? 
William Siwek: Yes, I mean that -- we are seeing -- we have seen decreases in overall raw material costs year-over-year from last year to this year for sure. Clearly, a portion of that we benefit from. So that's a small portion, I would say, of the uplift. 
 The bigger portion is just getting the lines out of transition and start-up into serial production and driving our utilization of north of 80%, 85%. That's the biggest driver. But there is some uplift from the commodity cost decline for sure. If you'll remember, Pavel, we share a bunch of that with our customers. So we get a piece of it. Our customer gets a piece of it, but it is helpful for sure. 
Operator: [Operator Instructions] The next question is from Eric Stine with Craig-Hallum. 
Eric Stine: So maybe just starting on the start-up and transitions, given your commentary, obviously, going to be heavy again in the second quarter. Is it a kind of a similar number in terms of start-up and transition costs in Q2 and then I would think that, as part of your guidance, that meaningfully subsides in the second half? 
William Siwek: That's correct. 
Ryan Miller: That's correct. 
Eric Stine: Okay. So -- but the $22.2 million, I mean, I think did you complete -- I think it was either 4 or 6. So it's -- I mean, again, that's a representative number to think about? 
Ryan Miller: Yes, I'd say the -- so we had 6 lines that we had started up by the end of the quarter. And yes, the $22 million relates to those. We have 4 more lines yet to start up. I think the first quarter, from our internal forecast, will probably be the heaviest quarter for start-ups and transition costs. So I don't expect it to be above that number that you saw in the first quarter in the second quarter. 
Eric Stine: Okay. That was helpful. And then just on Nordex, good to hear that that's on track for the handover at the end of June. You called out, I believe, $9 million in kind of onetime expenses. And I know that's a big part of your confidence in what the second half looks like. Can you just remind us, though, I mean,  is there a number -- I mean, what are the expenses above and beyond what maybe you would call onetime that hit you in the first quarter? 
William Siwek: Yes, I'm not sure I would characterize them as onetime. What they really -- what they actually were was underutilization of the plant as a result of us having to halt production for a period of time due to temperature and humidity issues in the facility as well as there's reduced demand, reduced volume needs from the customer. And as a result, you know this is a pretty fixed cost business, so that's what's created the challenge in the first quarter. We see that's a... 
Eric Stine: Okay. So there's not a... 
William Siwek: Go ahead. 
Eric Stine: Sorry. Yes, I was just going to say, so it's not $9 million-plus number, it's more of that's just kind of a good number to use that will not be there when you get into the second half. 
William Siwek: That's correct. That's correct. 
Eric Stine: Okay . All right. And then last one from me, just on the EV business. So strategic alternatives, and you're talking about targeting a transaction. I mean that implies, at least to me, that, that might no longer be part of your business going forward. Or is that trend, the same transaction, kind of a catch-all, could mean an investment, could mean partnering that includes an investment? Which is the better way to think about it? 
William Siwek: Yes, it could be any one of those, Eric. You'll know by the end of the quarter. 
Operator: The next question is from Jeffrey Osborne with TD Cowen. 
Jeffrey Osborne: Just a couple of questions on my end. On the Iowa facility, as part of the CapEx guidance, can you just remind us what you'll be producing for GE there? Is that a repowering product or one of their newer blades? And then what would be the timing of when that revenue would start? 
William Siwek: Yes. So not sure yet, Jeff. That's still to be determined. And timing is, I would say, most likely as first -- as early 2025 would be my best guess at this point in time, but don't have a final blade type nor a final start date yet. That's still in discussion. 
Jeffrey Osborne: But it's in the CapEx guidance, just to be clear? 
William Siwek: No, that's not in the CapEx guidance. Quite frankly, Jeff, it will depend on the blade, right? If it's the same blade, we then build in the CapEx that's pretty light. If it's a new blade, depending on the size of the blade, then that will be a different CapEx number. So until we understand what blade type, it's hard to predict that. 
Jeffrey Osborne: So is there a way to box -- put bookends on that, like what the upside number to CapEx would be, just given the strained balance sheet with the low water point here? Because that extra $10 million... 
William Siwek: Yes, it's probably no more than $10 million would be my guess. Again, it will depend on the blade type, ultimately, and think how many lines, quite frankly. 
Jeffrey Osborne: Got it. The building is, what, suitable for -- is it 5, 6 lines? 
William Siwek: Right now, it's got -- we -- the last blade we built was a 62-meter blade, and we had 6 lines in there. 
Jeffrey Osborne: Got it. And then you spoke super fast when you had the 3 items around the EBITDA translation. So $9 million was the Nordex that we talked about just before. I think $8 million was the inflation on the preexisting warranty claims. What was the $22 million for? 
William Siwek: That was the start-up and transition costs that we incurred in the quarter. 
Operator: The next question is from Tom Curran with Seaport Research Partners. 
Thomas Patrick Curran: Casting my view out a bit longer term here and allowing us to dream a bit, are you seeing any green shoots of potential interest that could lead you to reactivating the 2 idle lines in Turkey? And if you are, when might be the earliest we could see you do that? 
William Siwek: We really don't have idle lines in Turkey right now. We have 2 idle lines in India. And the answer is, yes, I mean, we're starting to see order books fill or backlog build. A lot of that backlog, as you probably know, is for '25 and '26 and beyond. But I think as things begin to open up a little bit more in Europe as well as the U.S., you could see those lines. 
 So now there is a lot of activity around those lines, Tom. We are actively working or in discussions with multiple parties for those lines. So it's not that there's no activity. So we are optimistic that we fill not only those 2 lines that got idled, but there's 2 more lines there as well that we can activate. So we've got a total of 4 potentially to activate in India as we move forward through the year. 
Thomas Patrick Curran: And those are all in Chennai, Bill? 
William Siwek: Yes, in Chennai, correct. Yes. 
Thomas Patrick Curran: And sorry, I misspoke when I said Turkey, I did mean India. And could we -- if all went well, would we expect to see the CapEx and production contribution from those most likely in '25? 
William Siwek: Given where we're at in the year, probably, it's most likely that it would be '25. You start to see revenue in '25 as well as contribution CapEx. Again, depending on blade size, number of blades, et cetera, the CapEx will vary there. I mean that's already an 8-line facility where we've built it out pretty nicely. So there shouldn't be a ton of CapEx as we activate those 4 lines. 
Thomas Patrick Curran: Maybe like $2 million to $4 million range? 
William Siwek: Again, it will depend on blade size, quite frankly. I hate to keep saying that, but that's pretty important is the blade size. So I mean we sized it for 80-plus-meter blades for 8 lines. Depending on who the customer is, some of them take more room than others depending on how the blade is constructed. But it should be a relatively minor amount of CapEx if we fill all 8 lines. 
Thomas Patrick Curran: Got it. And then sticking with blade size and how important it is, shifting back to Newton, Iowa and how seriously GE seems to be deliberating whether to stick with the 127 versus shifting to the new workhorse model. In part, from my understanding, because of its popularity for repowering, especially given the share gains GE seems to have made in the U.S. market, as you look to the next up cycle in the U.S., do you expect repowering to play a bigger role in this next up cycle than it did in the prior one? 
William Siwek: Yes, certainly, than it did in the prior one. The numbers I've seen are pretty -- are fairly significant in the U.S. between now and kind of 2030 time frame. So yes, I mean the bulk of it will still be new install, but there is a fair amount of repowering that we're seeing in the marketplace. So I do think that it will play a much bigger role this time around than it did last time, for sure. 
Operator: The next question is from William Grippin with UBS. 
William Grippin: Just one for me here. Really curious if you have any comments around what you're seeing in terms of offshore wind discussions with your customers, just given the pullback in a lot of U.S. projects. And perhaps has that maybe shift-away from offshore creating some opportunities for some of your onshore production? 
William Siwek: So on the first part of the question, not having a lot of active discussions today in the offshore space. And I'm not sure that, that really has an impact on what we're doing from an onshore perspective. I will tell you, as we look at where onshore growth may be, we're always keeping in mind the offshore side of it as well. And where we might think about different geographies, we would certainly keep in mind an offshore play at some point in time. But today, that's certainly on the back burner. 
Operator: The next question is from Patrick Ouellette with Stifel. 
Patrick Ouellette: It's Pat on for Stephen Gengaro. So just a quick one on the ASP side. Price came down from last year. Is the expectation still here that you get a rebound in ASP from the better mix of any of those lines coming on from the transition or a pickup in ASP from any of the lines that came on recently? Does the expected increase in ASP look like a step-up in flatliner? Should we be anticipating somewhat of a gradual increase into 2025? 
Ryan Miller: Patrick, I think this quarter, it was a little bit of an anomaly. I think we had material costs come down a little bit. So that also impacts ASPs for us. But it was really just a mix issue with the mix of the blades we had. And it was a pretty low-volume quarter, so that mix issue can be exasperated when that occurs. 
 The new blades that we're bringing online, they're all bigger, longer, heavier, more expensive blades. They're all refreshed blades from the OEMs that we expect to be in production for many years to come. So because of that, they're bigger and longer, there'll be higher ASPs, which drove our guidance. When we originally set our ASPs, they're expected to be up about $8,000 a blade or so. So I would expect that you'll see that gap close here in the second quarter. And the second half, we really see a differential there when we're in serial production in all the newer blades. 
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Bill Siwek for any closing remarks. 
William Siwek: Yes, thank you. And thanks again for your time today and continued interest and support of TPI. Look forward to talking to you again soon. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.